Operator: Good day, and welcome to the Torchmark Corporation Third Quarter 2018 Earnings Release Conference Call. Today’s conference is being recorded. For opening remarks and introductions, I would now like to turn the conference over to Mike Majors, VP, Investor Relations. Sir, please go ahead.
Michael Majors: Thank you. Good morning, everyone. Joining the call today are Gary Coleman and Larry Hutchison, our Co-Chief Executive Officers; Frank Svoboda, our Chief Financial Officer; and Brian Mitchell, our General Counsel. Some of our comments or answers to your questions may contain forward-looking statements that are provided for general guidance purposes only. Accordingly, please refer to our 2017 10-K and any subsequent Forms 10-Q on file with the SEC. Some of our comments may also contain non-GAAP measures. Please see our earnings release and website for a discussion of these terms and reconciliations to GAAP measures. I will now turn the call over to Gary Coleman.
Gary Coleman: Thank you, Mike, and good morning everyone. In the third quarter, net income was $179 million or $1.55 per share compared to $153 million or $1.29 per share a year ago. Net operating income for the quarter was $183 million or $1.59 per share, a per share increase of 29% from a year ago. Excluding the impact of tax reform, we estimate that the growth would have been approximately 10%. On a GAAP reported basis, return on equity as of September 30, was 4.4%, and book value per share was $48.35. Excluding unrealized gains and losses of fixed maturities, return on equity was 14.7%, and book value per share grew 26% to $43.10. In our life insurance operations, premium revenue increased 5% to $606 million and life underwriting margin was $169 million up 10% from a year ago. The growth in the underwriting margin exceeded premium growth due to higher margins at American Income and Direct Response. For the year we expect life underwriting income to grow around 7%. On the health side, premium revenue grew 5% to $255 million and health underwriting margin was up 8% to $60 million. Growth in underwriting margin exceeded premium growth due to higher margins at Family Heritage and American Income. For the year, we expect health underwriting income to grow at around 8%. Administrative expenses were $56 million for the quarter, up 6% from a year ago and in-line with our expectations. As a percentage of premium, administrative expenses were 6.5% compared to 6.4% a year ago. For the full year, we expect administrative expenses to be up around 5% and around 6.5% of premium compared to 6.4% in 2017. I will now turn the call over to Larry for his comments on the marketing operations.
Larry Hutchison: Thank you, Gary. At American Income, life premiums were up 8% to $273 million and life underwriting margin was up 11% to $93 million. Net life sales were $55 million, down 5%. The average producing agent count for the third quarter was 7,105 down 1% from a year ago but up 1% from the second quarter. The producing agent count at the end of the third quarter was 7,066. While we're still optimistic about American income's growth potential, we do have some great challenges. First we have opened 10 new offices this year. Well, this is great news because it supports sustainable long-term growth. It doesn't have production in the near-term as top middle managers leave existing offices to become agency owners in new offices. In addition, our economic conditions have historically, have a little impact on agent growth at American income unemployment is currently at a 50 year low. This is resulted in an uptick in new agent termination of rates due to the abundance of other career opportunities. There is one issue however that we do not consider to be a challenge. There have been reports and discussion recently regarding the potential impact of the Supreme Court ruling that prohibits public unions on assessing collective bargaining fees to non-union members. As we said on the last call, we do not believe this will have a significant impact at American income. We expect to see a reduction of only about 2% in American incomes overall lead production as a result of the ruling. In addition we do not expect an impact to the persistency of our in force business. These policies were individual policies, not tied to union membership. The premium to collect it directly from the individual policyholders. As we have discussed previously, the great majority of our new business leads are non-union leads. Furthermore, our union leads are more weighted towards private unions. Our American income is a Labor Advisory Board has significant representation from public unions, our penetration into public union membership has historically been low. There is no correlation between the makeup of our advisory board and our mix of business or leads. Actually, we believe the court's ruling creates an opportunity to accrue relationships with public unions as they make ways to incorporate programs that add value the union membership. At Liberty National, life premiums were up 2% to $70 million while life underwriting margin was down 11% to $17 million. Net life sales increased 1% to $12 million and net health sales were $5 million, up 4% from the year ago quarter. The average producing agent account for the third quarter was 2,180, up 2% from a year ago and approximately the same as the second quarter. The producing agent count at Liberty National ended the quarter at 2,021. In our direct response operations at Globe Life, life premiums were up 4% to $208 million and life underwriting margin increased 27% to $39 million. Net life sales were down 4% to $30 million. We continue to refine and adjust our marketing programs in an effort to maximize the profitability of new business. At Family Heritage, the health premiums increased 8% to $69 million and health underwriting margin increased 14% to $17 million. Health net sales grew 13% to $16 million. The average producing agent count for the third quarter was 1,086, up 6% from a year ago and up 3% in the second quarter. The producing agent count at the end of the quarter was 1,143. At United American General Agency, health premiums increased 7% to $96 million. Net health sales were $13 million, up 40% compared to the year ago quarter. To complete my discussion of the marketing operations, I will now provide some projections. We expect the producing agent count for each agency to be as follows. American Income at the end of 2018 around 7,000, for 2019 1% to 7% growth, Liberty National, at the end of 2018 around 2,250, for 2019 flat to 7% growth, Family Heritage at the end of 2018, around 1,185, for 2019 1% to 5% growth. Our approximate life net sales are expected to be as follows; American income for the full year of 2018, flat to 1% growth, for 2019, 3% to 7% growth, Liberty National, for the full year of 2018, 6% to 7% growth, for 2019, 6% to 10% growth. Direct Response for the full year of 2018, 6% to 9% decline, for 2019 flat to 4% growth. Total health net sales are expected to be as follows. Liberty National, for the full year 2018, 5% to 6% growth, for 2019, 4% to 8% growth, Family Heritage, for the full year of 2018, 7% to 9% growth, for 2019, 5% to 9% growth, United American Individual Medicare Supplement for the full year 2018, 20% to 22% growth, for 2019, 6% to 10% growth. I’ll now turn the call back to Gary.
Gary Coleman: I want to spend a few minutes discussing our investments operations. First, excess investment income, excess investment income which we define as net investment income, less required interest on net policy liabilities and debt were $62 million, a 1% increase over the year ago quarter. On a per share basis reflecting the impact of our share repurchase program excess investment income increased 6%. For the full year 2018, we expect excess investment income to grow about 2%, which result in a per share increase of about 5%. Now regarding the investment portfolio. Invested assets were $16.8 billion including $15.5 billion of fixed maturities and amortized cost. Of the fixed maturities $14.8 billion are investment grade with an average rating of A minus and below investment grade bonds are $682 million compared to $661 million, the year ago. The percentage of below investment grade bonds to fixed maturities is 4.4% same as year ago quarter. With a portfolio leverage of 3.1 times the percentage of the below investment grade bonds to equity excluding net unrealized gains of fixed maturities is 14%. Overall, the total portfolio is rated BBB+ same as year ago quarter. We had net unrealized gains in the fixed maturity portfolio of $769 million approximately $165 million lower than the previous quarter due primarily to changes in market interest rates. As investment yields in the third quarter, we invested $206 million in investment grade fixed maturities, primarily in industrial and financial sectors. We invested at an average yield of 5.14% and an average rating of BBB+ and an average life 26 years. For the entire portfolio, the third quarter yield was 5.56% down 8 basis points from the 5.64% yield in the third quarter of 2017. As of September 30, the portfolio yield was approximately 5.56%. At the midpoint of our guidance, we are assuming an average fixed maturity new money rate of 5.2% in the fourth quarter and a weighted average rate of 5.4% in 2019. We were encouraged by the recent increase in interest rates, our new money rates will have a positive impact on operating income by driving up excess investment income. We are not concerned about potential unrealized losses or interest rate driven, just we were not expect realize them, we have the intent and more importantly the ability to hold our investments to maturity. Now, I’ll turn the call over to Frank.
Frank Svoboda: Thanks Gary. First, I want to spend a few minutes discussing our share repurchases and capital position. In the third quarter, we spent $75 million to buy 877,000 Torchmark shares at an average price of $85.84. So far in October, we have spent $34 million to purchase 403,000 shares at an average price of $85.28, thus for the full year through today, we have spent $284 million of parent company cash to acquire more than 3.3 million shares at an average price of $85.51. These purchases are being made from the parent company’s excess cash flow. The parent company’s excess cash flow, as we define it, results primarily from the dividends received by the parent from its subsidiaries, less fee interest paid on debt and the dividends paid to Torchmark shareholders. We expect excess cash flow in 2018 to be around $340. With $284 million spent on share repurchases thus far, we can expect to have approximately $56 million dollars available to the parent for the remainder of the year from our excess cash flows plus other assets available to the parent. As noted on previous call, we will use our cash as efficiently as possible. If market conditions are favorable we expect that share repurchases will continue to be a primary use of those funds. We also expect to retain approximately $50 million to $60 million dollars of parent assets at the end of 2018 absent the need to utilize any of these funds to support our insurance company operations. Looking forward to 2019, we preliminarily estimate that the excess cash flow available to the parent will be in the range of $345 million to $365 million. Now regarding capital levels that our insurance subsidiaries. Our goal is to maintain capital at levels necessary to support our current ratings. For the past several years that level has been around an NAIC RBC ratio of 325% on a consolidated basis. In light of the current tax reform legislation which changed the NAIC RBC factors and following discussions with our rating agencies, we are reducing the target to consolidated RBC ratio to be in the range of 300% to 320%. This does not represent an intent to hold lower statutory capital within the regulated subsidiaries, but simply reflects the fact that the amount of required capital which represents the denominator and net ratio has increased. In fact, the overall quality of statutory capital maintained with our insurance subsidiaries post-tax reform will be greater as deferred tax assets will have been replaced with invested assets. On September 27, 2018, Torchmark completed the issuance and sale of $550 million aggregate principal amount of 4.55% senior notes due in 2028. The company intends to use the net proceeds of approximately $543 million to redeem on October 29, for a price of $304 million, the 9.25% senior notes that were scheduled to mature in 2019, including a May call premium, as well as defined approximately $150 million of additional capital in the insurance company. The company also intends to utilize the remaining proceeds for general corporate purposes including approximately $75 billion for the repayment of a portion of the company's outstanding commercial paper. Following the redemption of the 9.5% senior notes, Torchmark’s debt-to-capital ratio should be below 25%, less than the 26% ratio carried prior to tax reform and less than the 30% ratio that supports our current ratings. With the additional capital in insurance companies our statutory capital will not only exceed previous levels but as previously noted the quality of the capital maintained will be greater. In conjunction with the new senior debt issuance each of our rating agencies Moody's, S&P and Fitch affirmed their existing ratings. Moody’s also indicated that they were reducing the threshold RBC level for our current rating from 325% to 300% while A.M. Best affirmed it’s A- rating on our new debt issue, it is our understanding that their normal practice is to not formally review the negative value placed on our rating until their next regularly scheduled review in 2019. Next a few comments on our operations. With respect to our direct response operation, the underwriting margin as a percent of premium in the quarter was 19% compared to 16% in the year ago quarter. This was primarily attributable to favorable claims in the third quarter of this year compared to higher than normal claims in the third quarter of 2017. While the 19% margin percentage for the quarter was higher than we anticipated, it was within the overall range we expected. On our last call, we estimated that the underwriting margin percentage for the full year 2018 would be in the range of 16% to 18%. Now, for the full year 2018 we are estimating the underwriting margin percentage for direct response to be in the range of 17% to 18%. We are encouraged by the improved claims experience and the fact that the underwriting margin percentage for the last four quarters has averaged 17.6% while very early we think the margin percentage for direct response will remain in the 17% to 18% range in 2019. With respect to our stock compensation expense, consistent with previous quarters we saw an increase in the expense during the quarter, compared to the last year, primarily attributable to the decrease in the tax rate and excess tax benefits in 2018, as a result of the tax reform legislation. We still anticipate it’s best for 2018 to be approximately $22 million. For 2019, we expect the expense to be in the range of $19 million to $23 million. As Gary noted, our net operating earnings per share for the third quarter was $1.59, $0.04 higher than our internal estimate of $1.55 per share for the quarter. The excess earnings were primarily attributable to better than expected results, not only in our direct response operations, but also in our American income and family heritage channels. The underwriting margin percentage for each of these channels that the high end of our expectations and the results for American income and family heritage were at five-year highs. As such, we believe this favorable experience for the fluctuation and that underwriting margin percentages will revert to more normal levels in the fourth quarter. With respect to our earnings guidance for 2018 and 2019, we are projecting a net operating income per share will be in the range of $6.08 to $6.14 for the year ended December 31, 2018. This $6.11 midpoint of this guidance reflects a $0.01 increase over the prior quarter midpoint of $6.07 primarily attributable to the positive result in underwriting income, especially for our direct response and American income channels. For 2019, we are projecting the net operating income per share will be in the range of $6.45 to $6.75, an 8% increase at the midpoint from 2018. Those are my comments. I will now turn the call back to Larry.
Larry Hutchison: Thank you, Frank. Those are our comments. We will now open the call for questions.
Operator: [Operator Instructions] Our first question will come from Erik Bass from Autonomous Research.
Erik Bass: First on Liberty National. I guess life margins have deteriorated a bit year-to-date, this is followed a period of strong sales growth. So I was just hoping you could provide some more guidance on what dynamics you're seeing? And what you're assuming for margins in your 2019 guidance?
Gary Coleman: First of all, looking at the quarter-over-quarter the policy obligations is 38% - it was high for this year as compared to last year a 36% which was a low for 2017. So part of it’s - an unfavorable comparison. However we were expecting a lower policy obligation ratio in the third quarter this year because as just as the normal seasonal pattern - and that pattern didn't occur. So we expect - we do expect that a just fluctuation and it will return back in more of a normal pattern, but still because we have the higher order we're going to be able to get a higher ratio this year than we were in 2017. So, that's about a point difference in the margin. The other main difference in the Liberty National margins is in the non-deferred commissions and amortization. We're running about percentage point higher, running around 38% versus 37% last year. And the reason for that is because the amortization on the business in the previous years is higher than the amortization rate on the older airports bought the business that's running off. So in that we'll probably - that will continue. Looking forward, we’re at a - for the year we're about 24% underlining margin. We expect to end up around that for the year, and we're also in the 2019 we're expecting the amortization percentage to creep up a little bit. But we also expect that the policy obligations will revert back to more of the 36% range as opposed to 37%. So to sum that up, for 2019, we’re looking for the margins to stay at around that 24% level.
Frank Svoboda: Erik, the one thing that I would add to that is that we are seeing the non-deferred expenses creeping up just a little bit on that as well as we are expanding some of the sales there and our sales efforts and making some investments in both the agency, as well as technology investments to supporting those future sales, that we do look, having the future sales growth from that paying back on that over time.
Erik Bass: And then following the debt raise and the capital contribution, you'll have your RBC ratio in the range you talked about of the 300% to 320%, is how do you think about the need to maintain a buffer in that or where you fall in the range just for the potential impact of either, a credit market downturn and ratings downgrades? Or if there are C1 changes from the NAIC that come through?
Frank Svoboda: Yes, we're very comfortable with our liquidity position if you will, and so I don't feel a strong need a whole lot of tougher buffer for some events that you know may or may not occur in the future. And so you know we've been at this time - at this general level of RBC for quite some time, we know that we have capacity within our debt-to-cap ratios, and still fitting within our overall from our rating agencies a perspective of probably about $500 million from where we kind of expect to be at the end of the year, run our debt-to-cap ratio was five years ago a little less than 25%, and once the 9.25% is actually redeemed, and so you kind of fall within that 30% ratio that our rating agencies like to see as a maximum we saw around $500 million of capacity there and we really have access to that just through our bank line. But even if we didn't have the bank line for some reason and access to the public markets, we know that we have free cash flow coming up in that $340 million, $360 million range, next year we would anticipate for the year after that. And so that just creates that added amount of liquidity for us. So I think all those together give us good comfort that if we do have some downgrades, if we do have some impairments, that we'll be able to deal with that when the time comes.
Gary Coleman: Erik, I would add that - that's how we view this historically. We consider the buffer the liquidity that we have - as Frank mentioned the ability to add debt but also the free cash flow, we know that free cash flow was there. We would rather wait until we know what the need is if there is a need, before we put capital to companies because as you know, once that money is down in the companies, let’s say we put too much in, it's difficult to get that money back out because you have to go through the process of getting ordinary dividend and pretty good regulators. We feel very comfortable that we have more liquidity than we - than we’ll have any kind of a need for but we don't see the point of putting it down to the companies until we actually need to.
Operator: Our next question comes from Alex Scott with Goldman Sachs.
Alex Scott: My first question is just on the agent growth at American income. I appreciate the further comments on the union impact. I guess could you elaborate more on just why the decline in the number of agents in that business and some of the things that are going on?
Frank Svoboda: I think the challenge is how we’re going to increase the agent growth in the American income and as I stated in my comments, we've seen several factors this year that affected agent growth in a negative way. The first is the higher unemployment. Recruiting for the year at American Income is actually up 5%. Of course, your terminations have been a little higher than the growth in recruits, so we've had a flat agent count at year end. And as we go forward, we're changing our compensation system, improve our agent count and productivity. The changes include we're going to increase our new agent for share commission and new monthly bonuses for agents to encourage retention. We’re increasing bonus for managers to train new agents. And lastly, we’re changing our bonuses for middle managers and agency owners for recruiting new agent retention. We think that will have a positive impact in 2019 our guidance for 2019 is 1% to 7% growth in the agent count at American Income.
Alex Scott: And then just in Direct Response, the increase in expected margins there, what is it about what you're seeing in the performance of the block that causes you to feel like the go forward expectations are increased? Is it lower incidence that's the sort of driving the favorable mortality and any additional color you can provide there that would be great.
Larry Hutchison: Yes, we've seen, we’re really seeing favorable experience really across most issue years as well as really no specific particular causes of death or product types or anything to that effect. So it's fairly broad. We've actually seen some improvements overall in the claims with respect to kind of - to say has been our problem issue years, that's 2010 to 2014 and we've talked a lot about over the past few years. And so we've seen some of the claims really moderate in those more recent issue years. So that gives us little bit more comfort that at least the claim level in general that we're kind of seeing then. Obviously we're going to see some fluctuations but that we should be able to maintain that. And looking forward into 2019, we will expect the first couple quarters to be a lower margins, higher claims just due to the normal seasonality and claims that running at same pattern that we would see that we saw this year.
Frank Svoboda: So I’d add when we say, we’ve seen a lower claims, it’s really lower volume claims the average claimed dollars stays pretty much the same.
Operator: Our next question comes from Jimmy Bhullar with JPMorgan.
Jimmy Bhullar: Hi. I had a couple of questions. First, just on direct response sales, they've been weak. But I think the pace of decline has been decelerating a little bit. So what's your expectation of when they begin to turn and what do you think will drive that?
Gary Coleman: Jami, I think sales churn in early 2019. And we're seeing an increase in total inquiries in the insert media. We're seeing little bit higher mail volumes. So as we've adjusted our marketing we'll see higher sales in 2019.
Jimmy Bhullar: And then, on health sales, you've had pretty good sales, I guess in the last four quarters really. What's driving that? Is it mostly individual policies or group and what's your expectation for that business in 2019?
Frank Svoboda: So, saying the Medicare’s supplement sales 40% of the increase, and a cut 14% comes from the group and 46% comes from the individual Medicare supplement. So we've seen strong growth in individual sales for the last year because market conditions are favorable from a pricing standpoint, in addition we had good recurring results over the past several quarters and the group is really hard to forecast. The group sales tend to be an even and they're impacted by the size of the groups but we think we will have some growth in group sales in 2019. We just – it’s so hard to predict at this point in time. In the family heritage, really the increase is driven by group productivity and increase in number of agents and by productivity, it's the percentage of agents and the average premium written per agent is increased and that's what's driving the sales in the family earnings.
Operator: Our next question comes from Bob Glasspiegel from Janney.
Bob Glasspiegel: The bond refinancing, I mean even though you've issued a lot more than you are paying back, your overall interest costs go down and you’ll have $250 million to invest. So I have it as a decent bit accretive $0.11 to $0.12. Is that in your guidance?
Frank Svoboda: Yes, Bob, it is in our guidance. And you know there is a portion of that that’s probably going to that's maybe in your $250 million to invest that we're kind of pointing for CP reduction as well. So we're probably thinking you probably have $150 million to $200 million is actually probably going to give reinvested within the company.
Bob Glasspiegel: What's your CP rate these days?
Frank Svoboda: We've been a little bit north of two and a half here recently and that we do expect to tick up you know over the course of the remainder of this year than into 2009 along with changes in the bids.
Bob Glasspiegel: But you're sort of arbitraging your debt cost because I mean you're investing at two-digit say new money and your debt cost $490. So you pick up 30 bps on the excess that you’re not repaying. And you are saving 500 bps on what you're repaying clearly a nice transaction. Are there any charges - I'm sorry, go ahead.
Frank Svoboda: Absolutely, we are seeing that, on that arbitrage as far as being able to reinvest a portion of that at a decent spread over what our borrowing costs were. And in the fourth quarter, Bob you were going I think your question, that when we actually redeem this, we will be making whole premium, and that make whole premium will be expense, but that will be expensed below the line if you will on the fourth quarter.
Bob Glasspiegel: And a little bit of extra interest per month, right, with the double…
Gary Coleman: Yes, in the fourth quarter, roughly we actually have about $2 million of excess interest income, excuse me, interest expense in the fourth quarter, because we did have to double up on that debt here for - for a month. Now, portion of that will get reinvested and help on our investment results.
Bob Glasspiegel: I have about a $4 million pickup investment income, but I guess they got knocked down the CP, so maybe $2 million to $3 million pickup quarterly in investment income just from this just roughly, right.
Gary Coleman: Yes, that sounds fair.
Bob Glasspiegel: And last thing, your stat earnings must be growing a decent bid. We've had a growth penalty I mean hold them back free cash flow. So we passed a crossover point and the earnings from the past sort of flowing through offsetting the need for keeping more for growth or is there something else that's causing the bump up in dividends this year that you're looking for next year?
Frank Svoboda: I think that's fair. The general growth, so we're kind of anticipating our statutory earnings, Bob, it’s a little bit early yet year for 2018, but we expect them to be up probably $15 million to $20 million over where we were in 2017. For the most part, that's about a 4% growth. So you're growing pretty much in line with you overall growth and premiums. But clearly the moderation of our obligations where we've been having challenges in the past several years with a growing cost that a direct response, some of the moderating of those claims has clearly been helpful. The higher interest rate as well that's not going to help us much until 2019. That will be at least a positive, and then we’ll see some incremental benefit from a lower tax rate in 2018 as well.
Bob Glasspiegel: So from here stat earnings should be able to grow in line with GAAP earnings?
Frank Svoboda: Yes, I think we would expect that, now if we do end up having some high growth years, you know that that will tend to work against that statutory earnings. But if sales are growing in those lower single-digit numbers and mid-single digit numbers, then you’re not going to see it as quite as much stress on the statutory earnings.
Bob Glasspiegel: From your lips to God's ears if that problem develops? Thank you.
Operator: Our next question comes from John Nadel with UBS.
John Nadel: I'm not sure exactly how to follow up that last comment. And the first question I have is just thinking about the midpoint of the 2019 guide. I think it’s what $660 million. So, at that midpoint, how should we be thinking about the overall portfolio yield and impact on excess investment income? And then I assume the upper end and lower end of the range give some flexibility for new money yields or portfolio yields to shift a bit?
Frank Svoboda: John I think as far as portfolio yields - you know, we've been having declines We've been having declines in the year-over-year declines in the range of 9 basis points to 10 basis points. We've gone to a point now where we're investing in what's coming off portfolio that whereas we are 5.56% for this year, we think that at the end of next year the portfolio yield will be 5.53%, so rolling this is three basis points. So we’re getting to the - we’re getting that point where the portfolio yield and investment grade are getting very close.
John Nadel: That's helpful, that's a outlook that what we've got in terms of decline. The…
Frank Svoboda: I’ll just say, John, you’re just thinking about - thinking about some of the sensitivities that from the - plus or minus 25 basis points on those new, on that new money yield over the course of the years, that is pivot about it $0.02 impact overall. When you think about the highs and the lows and what impact that might have so.
John Nadel: I mean, so, new cash flows to invest, I mean, other than the incremental investment you've got from the net debt.
Frank Svoboda: Correct.
John Nadel: The new cash flows to invest, what about $500 million, $600 million bucks, give or take, I’m guessing?
Frank Svoboda: Well, next year we’ll invest little over $1 billion, $1.2 billion or so. But as you’re talking about new money, you're correct on that, because after - the department that we’ve been reinvested. First one, the maturity is less about $500 million.
John Nadel: And then, the second question is, I know it's early days yet. And this stuff is going to be ferreted out over the course of a, rather lengthy period of time but Gary or Frank, any early thoughts on conceptually or otherwise, how you think the new FASB long duration accounting standards are going to impact your financial statements?
Gary Coleman: Yes, it is pretty early. They did provide the final amendments here this quarter and that will be effective in 2021. And it really at this point in time, we’re still reviewing the amendments and determining what changes we’ll ultimately need to make to our systems and processes to bill to the comply. So there will be a lot of work between now and then. You know I think at a very high level you have a couple of things that are changing and that a lot of changes in assumptions with respect to your future cash flows, changes to those assumptions will have to flow through net income and for at least you have the potential for some of that to get on loss. And then, the kind of the really the bigger change is going to be that you’ll revalue reserves quarterly using a current market rate. But at least, but those adjustments to the interest rate will flow through OCI so impact overall, current operation. So I think, in general, it looks like that that the companies that they may be right policies that have some of these margin risk benefits that are talked about in the guidance, may tend to have a little bit more volatility because those are just a little bit harder to nail down those the future assumptions on those future cash flows. You know with the nature of our products, again there is a lot of work and we really haven’t been able to see exactly what impact it’s going to have on us. But we’re hopeful that it may not be as volatile as we maybe once thought, but you know through the actual earnings you know and given the way that the guarantees come up.
John Nadel: We'll stay tuned and I’m sure a lot more to go on that topic and I have just got one more for you guys. I appreciate the lower asset leverage of your operation, I appreciate the non-callable liabilities there being a complete lack of a run on the bank type of scenario or risk. But you do have a very heavy exposure within your investment grade portfolio, the BBB securities. So sort of circling back on. I think it was Erik's question earlier, because we’re getting very late in the cycle here. Is there any expectation of some sort of at the margin even portfolio reallocation to move credit quality maybe a little bit higher and protect capital ratios against the potential downturn?
Gary Coleman: Well, John, I think we - although we haven’t changed our overall investment philosophy, we have made a few tweaks in what we're doing. One is we've invested more in municipal bonds than we have in the past. I guess it’s little bit higher quality bonds. Also there are certain issuers that we may have invested in the past, we aren’t now because they have higher leverage or higher leverage than we prefer at this point in the cycle. So we have made some changes like that but in overall, the strategy is still the same.
Operator: [Operator Instructions] Our next question comes from Ryan Krueger with KBW.
Ryan Krueger: I had a follow-up to Bob’s question on - I guess on longer-term earnings generation. This year we saw a little bit of uplift from tax reform but fairly minor on a statutory basis given some of the cash tax changes. I'm just wondering if you look longer term will you see more of the tax benefits from tax reform start to emerge on a statutory basis over I guess over a much longer period of time?
Frank Svoboda: Yes, we think you’re right in the near term and kind of intermediate term, there will - we believe there will be incremental benefits from the tax reform. We've kind of estimated initially part of I think that $10 million to $15 million a year range. Once we get past year eight because there are certain transition rules as part of that tax reform that cause us to if you will pay back a portion of our of tax reserves over the first eight years. After that period of time then we'll start to see much more significant benefit as a result of the tax reform. That's probably the transition rules are probably costing us - will cost somewhere in that $19 million or $20 million range a year. So that would free up after the year eight.
Ryan Krueger: So once you get that pathway year eight you could see about $20 million or so kind of uptick immediately?
Frank Svoboda: That's right. And then, of course, statutory income grows and your overall taxable income base grows, that differential being able to pay at a 14% lower tax rate works in there as well. So you're going to be having that lift just on the growth of that earnings too.
Operator: Thank you. I'm currently showing no further questions in the queue. I'd now like to turn it back over to management for closing remarks.
Gary Coleman: Okay. Thank you for joining us this morning. Those are our comments and we’ll talk to you again next quarter.
Operator: Thank you. Ladies and gentlemen this concludes today's teleconference. You may now disconnect.